Zach Spencer: Ladies and gentlemen, welcome to Comstock's 2022 Year-End Business Results Webcast. Here is Comstock's Executive Chairman and CEO, Mr. Corrado De Gasperis.
Corrado De Gasperis: Thanks, Zach. Good morning, everyone, and welcome to Comstock's 2022 full year report. I'll provide a business update, including the information from today's press release and our recently filed Annual Report on Form 10-K. I appreciate the e-mails and the increase for many of you, and in response, we're being much more specific today about the nature and extent of our results and our 2023 outlook, in this afternoon's release, in our Annual Report and on our Form 10-K and on this call. We also made a real effort to define clearly and precisely how we define Technological Readiness Levels or in our terminology, TRLs, so you can better understand and measure us because, frankly, this is how our partners, our customers and even the government evaluates us. TRLs are measured on a scale from one to nine and with TRL6 representing a critical milestone for anyone serious about commercialization, and we're solidly on that now. 2021 and 2022 were about integration and technology development and its readiness. 2023 is all about commercialization. By certain relative measures, we've been fast but not relative to the expectations that we have set and we're correcting that by setting very specific and clear objectives. We will be transparent and accountable with these smart objectives with Fuels and GenMat already leading the way. If you don't have a copy of today's press release, you'll find a copy on our website at www.comstock.inc, at the top of the Investor page in the Newsroom section. Our Form 10-K is also available on the website on the Investor page under SEC filings and also via EDGAR at www.sec.gov. You may have noticed the expansion of the website to www.comstofuel.com, with Fuels also launching their own social media sites as well. Please let me remind you that we will make forward-looking statements on this call and that any statements relating to matters that are not historical facts may contribute -- may constitute -- sorry, forward-looking statements. Our statements are based on the most current expectations and are subject to the same risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in previously reports filed by the company with the SEC and in our most recent press release and all of these forward-looking statements made during this call are subject to the same and other risks that we can't identify. Once we complete our prepared remarks, Zach will accept and direct all questions. We'll also extend the Q&A. Based on input received from our last call, you can be sure that I'm listening to your input and looking forward to all of these questions. We can also be available for follow-up after the call. Let me briefly highlight for each one of our businesses, the most achievements for 2022, and the smart objectives that we set for 2023. I'll start with Comstock Fuels. The Fuels team has now demonstrated technological and commercial readiness that is at least TRL6 in a remarkable way with extraordinary yields now approaching 100 gasoline gallon equivalents of renewable fuels per tried ton of Woody biomass. We believe these levels are unprecedented and dramatically higher than what we acquired from this business less than just 18 months ago. I can tell you, when you're engaged with a globally recognized company and you're demonstrating TRL 6 or TRL 7 as in our recent experiences, you're engaging in months of real diligence, productive advancements, and that's what's happening with us right now in the fuels business. We've upgraded and commissioned our demonstration system in Wisconsin and commence production and shipping of biointermediate product samples to exactly these type of prospective customers, and we are actively engaged in discussions with multiple of the renewable fuel producers towards the execution of new licensing agreements. We have recently hosted one such company in Wisconsin with great reception over two days as they could now see, touch and feel our capabilities and test our samples. Our demonstration facility is integral to these commercialization efforts. We are now both actively commercializing that we -- what we have proven, while also advancing additional fuel pathways, both within the award-winning DOE grant process, as well as multiple other enhancing pathways outside of the DOE grant process and positioning for the potential to increase these leading yields well beyond to 100 gallons per dry time. In our opinion, this would extend an already significant market-leading performance. This year, we will execute at least one commercial license agreement and to be clear, each license agreement for one of our potential customers, commercial production facilities will create at least 15 years to 20 years of recurring royalty revenue for the company. This is in addition to millions of dollars of upfront fees for design and engineering and support. Just as an aside, when our technology is adopted by a customer like this, the likelihood of it being only for one facility within these global and national companies is pretty low. We will also complete in 2023, an independent life cycle carbon analysis to prove the carbon emission reduction benefits from using the fuels produced with our patented processes. Our customers value and, frankly, demand that these leading decarbonizing activities are independently documented and so do we. 2023 will also see continuous operation of the integrated buyer intermediate production process in Wisconsin for sufficient enough time to achieve and broadly demonstrate TRL. Now let me turn to GenMat, who as of yesterday and quite dramatically has come out of stealth mode in large part because they've announced the achievement of their first three major objectives and are now well on their way to the first commercial use of their breakthrough software solutions. I'm going to try to convey the profound importance of what they've already demonstrated, which is a successful creation and operation of a truly generative artificial intelligence. Just to repeat that, GenMat has now created and operates a proprietary generative AI that they've named ZENO. ZENO can simulate known and new materials in an exponentially shorter time than traditional R&D methods are capable of. This includes simulating and predicting crucial properties such as electrical conductivity, thermal conductivity, heat capacity, formation energies, band gap, magnetic properties and more, all at the atomic level. ZENO has been trained on solid-state metal oxides and can stimulate any metal oxide materials thermal connectivity, for example to 99% accuracies in minutes. We have seen it done with titanium dioxide. And frankly, we are stunned. For context, this is the type of material research that takes many months and millions of dollars if it were happening, let's say, in the semiconductor or battery metal industries. GenMat’s already assembled a world-class team of material scientists and engineers, and they have also efficiently deployed a state-of-the-art remote high-performance computing platform with the capacity to conduct high-throughput material simulations at workloads comparable to many conventional supercomputers. They've been quite busy building this platform over the past two years. And this means that today, GenMat’s scientists and engineers and ultimately, their customers can access ZENO remotely for generating breakthrough material solutions. ZENO operates similarly to the large language model Generative AI that are all the bugs today like ChatGPT. But instead of manipulating data, writing legal papers or generating code, which is revolutionary, ZENO has instead harnessed math and science to manipulate matter at the atomic and quantum mechanical level, enhancing and discovering new materials and engineering materials solutions in an exponentially shorter time than traditional methods allow. It's going to take a while for people to digest this. It's going to take a while for people to appreciate this. It's going to take a while for people to start embracing this, but it's going to happen. To put in a little better perspective, new material discovery typically takes many years and millions of dollars and GenMat’s AI can simulate thousands of unique materials in minutes and ultimately, in seconds. In 2023, we expect GenMat to rapidly elevate these new material simulations to TRL 6 by generating synthesizing and directly testing many more simulated materials and continuing to confirm the precise -- the precision and accuracy of those simulations. This positions the commercialization of their solutions with early adopter enterprise clients. The clients that they are already speaking with are the cutting edge globally leading materials and minerals companies. There's also a remarkable crossover application and that ZENO’s ability to create new materials also extends to an ability to identify and discover new minerals. If it recognizes material signature at an atomic level, it will also be able to identify known mineral signatures in the earth. And in our opinion, certainly better than any other known exploration method that we're aware of. This is still developing, but coming from the same base and the same generative AI capability, this is also the reason that GenMat’s launching and making operational in 2023, an extremely powerful space-based hyperspectral imaging sensor for mineral discovery. Mineral discovery applications with the Comstock perfectly positioned as the base case. Speaking of the Comstock in 2022, we reconsolidated our mining assets and now control over 12 square miles of primarily patented and unpatented mining claims, covering 6.5 miles of continuous mineralized strike within the entire district, including full access now and productive use of our existing permitted crushing, processing and refining infrastructure. We also significantly expanded our mineral resources. This was announced previously with the publication of two new S-K 1300 technical reports. We now report total published mineral resources of over 600,000 ounces of measured and indicated gold and nearly 6 million ounces of measured and indicated silver. We also have additional inferred gold and silver resources that increase those numbers by nearly 50%. With GenMat, we are now developing exploration plans that will leverage the hyperspectral imaging and AI-enabled high-precision mineral discovery analytics, so that we can efficiently expand, enhance and improve the value of these mineral resources. I'm sure this is going to make some people on this call very happy, since our 2023 objectives now include advancing our exploration and development and publishing a prefeasibility report with the Canadians call a preliminary economic assessment, or a PEA in the industry for both the Lucerne and Dayton Resource area. We will also develop with GenMat, a next-generation geostatistical digital twin model of the Dayton Resource, using our extensive existing geologic and geophysical data and creating tremendous additional knowledge for expanding that resource. These 2023 efforts will certainly enhance our gold and silver resources while progressing toward ultimately publishing full economic feasibility reports. These reports would result in proven and probable reserves, although it would come after the prefeasibility reports that we just discussed. Look, when the world was in chaos and we have runs on our banks, we love having 12 square miles of entitled, permitted gold and silver mineral resources fully back in our portfolio with gold at well over $1,900 today and in our opinion, heading higher, that then represents billions of dollars in mineral revenues in the future. This has also of course, increased outside increase and interest in these properties. Last and certainly not least, for Comstock Metals and our LiNiCo subsidiary, we have built and operated a pilot system validating our lithium-ion recycling technologies for use in efficiently crushing, conditioning and extracting high-purity black mass metal concentrates from these battery cells, elevating our technology to TRL 5. We just need to operate the system more extensively to achieve TRL 6, but we have certainly confirmed our ability to produce black math and these metal concentrate. As I believe most of you know, we have both opportunistically and strategically monetize the option facility in the Tahoe Reno Industrial for gross proceeds of $27 million. This eliminated near-term liabilities of $12 million and generated immediate and near immediate net cash proceeds of over $12.5 million. When Microsoft and other tech companies recently announced billions and billions of dollars in investments in this area, we capitalized on the opportunity and we sold the asset. We also had a facility massively bigger than any of our immediate needs frankly, than any of our intermediate needs, plus new access to other properties more conveniently situated in our system. Frankly, we also see a longer horizon for LIB batteries, especially with the secondary and extended lives than most people seem to be acting against. Yet we do see other near-term opportunities for recycling other metals efficiently, profitably from other electronic devices. All of this allows us to non-dilutively fund and physically reposition our platform here in Northern Nevada and make better use of the already permitted facilities for both storage and metal processing. As you know, we've already expanded our technical and operational leadership for Comstock Metals with Fortune Auto here with us today as we complete the planning for this new metals recycling platform and broaden more immediately the addressable markets for commercializing of our business. We also continue to advance the technology readiness, including some technology that Fortunato is adding to the equation for broader material recycling like, for example, photovoltaics and fuel cells. We've already identified these broader feedstock opportunities, revenue potentials and expanding high-growth markets, certainly including but well beyond just lithium-ion batteries. This is a shift, this is the reposition. We want to be very, very clear. We will finish this repositioning plan and share much more specific objectives here for 2023 in the near coming months. We'll also start hosting more frequent calls, highlighting a particular business each time, so you can get better exposure to the rest of our leadership team. This will get kicked off in mass at our upcoming Investor Day and then much more frequently thereafter. With major asset sales already delivering now more than 14 million in cash proceeds and an additional 20 million in pending and planned asset sales for this year, the company has alleviated the need for continued equity issuances at these levels. I know that's also going to make some people happy. Executing licenses for use of our biorefining technologies, our number one priority for 2023. While our metals and generative AI solutions have and continue making incredible leaps forward with the goal of readiness first and then securing partner and customer agreements in 2023. Just to restate before we take questions, 2021 and 2022 were about technology development and readiness, as you're hearing in a pretty big way, 2023 is all about commercialization. Zach, let's stop there and turn to questions. Do we have our first question?
A - Zach Spencer: Yes, we do Corrado. The first question is, what is the status of patents applied for in biofuels?
Corrado De Gasperis: So I think we announced about half a year ago, the filing of a very, very dramatic patent, hundreds of claims within the patent. We were internally referring to it as the umbrella patent. It's still relatively young in terms of the filing, but we believe that the extent of it, the depth of it gives us freedom to operate with our technology, which philosophically is what we're all about moving fast with our technology without any encumbrances.
Zach Spencer: Our next question is why haven't insiders purchased any stock? Will they be purchasing stock in the near future?
Corrado De Gasperis: Thanks for the question Yes. So look, let me -- let's talk about that just for a bit. We've got a very, very strong senior team of people here that are deeply invested in the company, I think digging through each and every one of them, their investment in the company represents a substantial majority of their network, number one. Number two, they've all committed for a very long-term. And to me, that's not even that consequential because most of our team has dedicated their lives to the objectives that we just went through with you. In addition to that, a lot of our people came in when we originally valued these transactions and we originally acquired these companies, at $1 equivalent of $5 a share. So when we think about alignment with our shareholders, when we think about our own investment and we think about how vested we are in this equation, we think there's very, very strong alignment. Having said that, I don't want to dodge the question. If we have the opportunity, and frankly, we have the personal liquidity, we see this as an attractive step. And each person will make their own individual decision, but we would look forward to some positive actions there.
Zach Spencer: Okay. Next, we have a statement from one of our listeners today. First of all, let me say congratulations for everything the company has accomplished up to this point. And when will we be able to hear more about the collaborations that you have with the various entities that were listed on the DOE grant application.
Corrado De Gasperis: Thank you first for the congratulations. We've got a lot of wood to chop literally, figuratively. The grant application was energizing to the company when we were awarded frankly, it energized us even before we were awarded with the assembly of that world-class industry team. With the award, we're engaged with every one of those parties on a frequent basis and with the DOE to finalize all aspects of the grant, finalize the agreements and kick it off. As a matter of transparency and currency, we're planning to post the full grant application, which gives great detail to our technology and our processes and sort of indicates what the role of each one of our partners is. So I think it's going very, very strong and it's going very, very fast. We're dealing with the government, but they've been actually remarkably responsive to all of our back and forth. And so I think we're in a good place.
Zach Spencer: Corrado, can you please update us on the investment in Green Lion.
Corrado De Gasperis: Yes. So Green Lion, if you all recall, when LiNiCo was first formed and negotiating the contract for their downstream precursor cathode active material system. We made an investment in Green Lion. The investment was about $2 million and we got a little over 20% of the company. Maybe this question is being asked because Green Lion just last week announced their third offering -- valuing the company at about $150 million. We were ecstatic to see that, to say the least. And -- we understand that they have selected and are deploying their first system with another customer that was in part -- at our request as well. And we have a very, very strong relationship with Green Lion, the investment was initially marked to about $4.5 million on our balance sheet at December 30, 2021, when we increased our ownership in LiNiCo. We no longer mark that investment to market. But given the recent offering, it's worth much, much more than that amount of money.
Zach Spencer: Can you provide an update on the Mercury Clean Up business as well as the equipment that's associated with it.
Corrado De Gasperis: Yes, happily. So we haven't spent almost any time in 2022 with Mercury Clean Up. We did recapture 100% of the assets in that business -- some of you may recall, we were a 25% owner. We weren't actively managing that business. We did recapture 100% of the assets of that business, which means we have two physical systems, one, a pilot system sitting here at the Comstock, one, a fully operational system, which is still currently in the Philippines, but we are making arrangements now that freight costs have dropped dramatically -- to ship that equipment and related mining equipment and related infrastructure back here. Those equipments can be used for alluvial mining. I may have mentioned previously that, even though the systems have efficacy at removing mercury contamination from the materials, it doesn't need to have mercury contamination to process alluvium and separate gold. The spirals are highly precise. So we have the equipment. We have not prioritized that business. I think, you can see why the impact of fuels, the impact of GenMat's work, the impact of metal recoveries are – are tremendous for us. But we will reevaluate what we do with those assets. In recapturing 100% of those assets, we also recaptured a little under $1 million of cash back. So we currently don't have any asset recorded on our books. We wrote those down as part of this process, despite having taken 100% of the physical assets within our portfolio. So I wouldn't say, and as you heard from my comments here, it didn't show up on the 2023 objectives as a priority. But we will ultimately make a decision on what we do with either, a, those assets or be the business.
Zach Spencer: The next question is, do we have any ongoing royalty income?
Corrado De Gasperis: We do not have any ongoing royalty income. We do have royalties associated with our mining properties, but we have now recaptured a reconstituted all of our mining properties back into our portfolio. For total clarity, we own or control 100% of all of those assets, all of those patented and unpatented mining claims, properties, lands, et cetera. And as we move forward in the fuels business, it is a licensing and royalty-based model, which we're extremely excited about, but we don't have any currently operating as we speak.
Zach Spencer: When do you expect the battery recycling to go into initial and then full production?
Corrado De Gasperis: So the battery metal recycling business is being repositioned, okay? We made big profit, 8-figure profit in flipping this facility. We also have an unrecognized significant gain sitting in the green line investment that we just talked about. So if we're looking at a short scorecard financially, we're sitting pretty happy with our position. The negative implication of selling that building was the repositioning of the asset, which will also require repositioning of the permits. However, as I mentioned, as we look at this market and we see the rate at which it's ramping up, and we see some of the other markets and opportunities in front of us. We're reassessing how we're going to deploy the pilot, where we're going to deploy the pilot there are various modifications that will occur associated with the permitting. And we will come back later with a much more specific plan, much more specific objectives, much more specific time line. But I want to emphasize, we're leveraging tremendously existing infrastructure. We're leveraging tremendously existing human resources that are knowledgeable and capable adding Fortunato to that equation, we have a very efficient capital-light repositioning of this business, yet not only would we not diminish the growth perspectives, we feel we've broadened the growth perspectives. And we'll talk to you about some of these other markets where we see some immediate ability to move into feedstocks and different abilities to process and recycle other metals. So, more to come on that. I guess, what I would commit to is when we give the next update, we will try to accelerate and put metal recycling at the front of our updates.
Zach Spencer: Corrado, what are the company's plans to get the share price to catch up with the valuation?
Corrado De Gasperis: Thank you very much. That's -- I appreciate the way the question was postured. When you look at the achievements that have occurred in 2022, and I want to be clear, we wanted to do more. We had outlined in many cases that we would do some more. But when we look back at what was achieved and when we acknowledge with discipline, the technology readiness is that we've advanced. We really have an incredible value creation. Has it been realized by the market? Obviously not, right? But we feel we've created it. We feel it's positioned us for tremendous growth going forward. Now, what are we going to do to unlock that value? First and foremost, we're going to communicate on a much clearer basis. We're going to make sure that you understand where we truly are transparently, technologically, how ready we are. I'm excited about how ready we are. I'm excited about these engagements with new customers. I'm excited about the proximity that GenMat and these other metals businesses have with new business. Now, in addition to advancing the plans that we just outlined, we are communicating more broadly. I mentioned that fuels has just set up their own website. We've gone a step further. We've dedicated a team, right, to start communicating and marketing the activities. We already have dedicated sales and business development. We will be in full attendance and keynote speakers next week get the advanced biofuel conference. We will be targeting investors that have expressed a keen interest in these segments of the market. They are long-minded institutional investors that see now the position that we brought the company forward to, see the readiness of the solutions that we're bringing to market. Interestingly, even some of the customers that we're talking to, have referred us to investment capital. So we are positioned to better target, better communicate, better market and start to realize a much, much bigger percentage of the value that we believe has already been internally created and unlock it for the investors. And second to that, just continuing to forge forward on meeting these 2023 objectives.
Zach Spencer: Well, that's a good segue. Corrado. What do you expect your 2023 R&D expenses to be compared to the 2022 R&D expenses?
Corrado De Gasperis: Yes, it's a great question, because I think you'll see, that we went from about $0.5 million in R&D expenses in 2021, the year that we acquired these businesses to over $7 million in 2022. That was the best money that we spent, that money went into the piloting and now the continuous operation in Wisconsin, the -- not only ability to create cellulosic sugar and Biolium, but to be able to provide stable, repetitive, high-quality samples to our prospective customers, the design, engineering and building of the crushing, conditioning and separating system to prove that we can produce these high-quality black masses. I can tell you that right now, we're spending at a lower rate than we did last year. However, we want to turn that around, right? Because, we now have the ability to, advance some of these opportunities even faster. So I would say our current plan, our current look just on the R&D side would be comparable, right? We want to replicate and enhance the advances that we've just done. What you don't see -- what you don't see is that we've invested $7.5 million into GenMat, and that is doubling the development efforts and look at the results that we're getting from it. When we look at companies that are generating AI, that are truly bringing to market something that works to the level of accuracy that GenMat's created or the amount of money that's been invested, I would say, -- honestly, I would say, it's not dilutive at all. It's been a tremendously accretive deployment of capital, both in the research, the development and the teams that are surrounding and advancing all of these activities every day. I'm frustrated by the share price, but not in any way this made by it in the sand that we know what we've created, we know how we can communicate it and the credibility that will come with these validations will continue to evolve and expand and grow our capital base. It's inevitable. It's inevitable.
Zach Spencer: Corrado, please provide us with an update on the Sierra Springs Opportunity Fund.
Corrado De Gasperis: Oh, surely. So Sierra Springs has had some great activity over the last few months. I alluded to it earlier on the call, but Microsoft acquired a major piece of property right across the street from the entire Sierra Springs Opportunity Fund land position. They then announced even further investments in Northern Nevada right up the road from that investment in Silver Springs. Tesla announced $3.6 billion investment, including the production of electric semi trucks right here in Northern Nevada, just like -- just when it started to seem like Texas was getting the substantial majority of their plant expansions, there was a strong about phase, where they announced not only these semi trucks, but also a new battery plant right next to and integrated with the existing battery plant. So because of those things, the activity and the interest in Silver Springs has gone up dramatically. I mean, I think, the Microsoft investment was almost like the Tesla effect of eight years ago, where people now see that blue chip companies that have been pouring into Northern Nevada for the last 10 years are expanding into firmly and expanding in to Silver Springs. So we are ecstatic about that. I have at least a handful of investors that are not only looking to invest in Silver Springs but actually looking to come in and acquire a property, the way that Microsoft did from us. So we're -- the real estate market has gone through a bump. I got punched in the nose, frankly, with the Fed rate increases, cap rates, have gone up, valuations have come down. And so that slowed a bit of the process, but it has not slowed the quantity of activity and the quantity of interest coming in. So from my perspective, had we not moved into a sort of a down real estate cycle, we would have been done. It's not an excuse. It's the reality that we're facing. Yet we still here see repeated and increased interest of inflow of businesses into this area, I mean, almost unbelievable levels. And so again, I just think it's a matter of time before we close that. We're looking at a minimum cash proceeds to Comstock of $15 million with the potential of it being up to $20 million. So, we're very excited about getting that done and supplementing to the now cash position we have from closing the 2500 Peru.
Zach Spencer: Corrado, what is the estimated value for LODE's position in Green Lion? And can you provide an update on Green Lion?
Corrado De Gasperis: Well, I said it a little bit less specifically earlier at the level that they just did their recent secondary offering, it would put our existing share position at $20 million, okay? It's not a public company, so we don't have any kind of immediate way to monetize that. But if there is an interest to doing that, we certainly would be open to it. For us, what is strategic about Green Lion is the contractual relationship and the access that we already have at very, very founding level prices for their system, that's intact. That's not changing. The investment -- frankly, the investment was done to enable that contract. The investment was done to get a favored nation position on the technology with that being in place, the investment is discretionary. So, it certainly could be one of the assets that we monetize
Zach Spencer: Corrado, what is Comstock's ownership stake in GenMat and remaining financial obligations?
Corrado De Gasperis: Yes. So, good question. So, we had committed originally up to $50 million up to 50%, okay? That's the simplest way to think about our commitment. It was phased with three major components. The first component was a $15 million commitment requiring GenMat to achieve certain objectives. They're well on their way to achieving those objectives. And we have committed in cash to-date, just under $9 million of those $15 million, okay? So, basically, if we fulfill the full $50 million, we would own about 50% of GenMat, right? GenMat is now starting to get, as you probably wouldn't be surprised to hear, interest from venture capitalists and many other sources of capital. We think there's positives to that kind of situation. Right now, we're the only investor. We're the only funder. We have three of the seven Board seats. I chaired the Board and our relationship with that incredible management team and that incredible multidisciplinary science team is at the highest level. So, where do we end up? Look, we're going to get to Phase 1. We're going to fund $50 million. We're going to see what's commercializing, what the values look like? We think they're going to be extraordinary, and then we'll make forward decisions from there, right? So where do we end up with GenMat, somewhere between 30% and 50%, depending on how far we go with our capital resources, we have demands on our capital, too, right? And the Fuels business is really ready to fly. So it's a good situation that we're in. I mean, I can't think of a better situation relative to the businesses and capital allocation decisions that we have in front of us.
Zach Spencer: Pivoting back to mining, what is the lead up to the preliminary economic assessment for property that is drilling, et cetera?
Corrado De Gasperis: Great. Yes, yes. Look, we have -- there's really three major levels to these technical reports. First level, that's meaningful, is resource estimate. We have a resource estimate for Dayton. We have a resource estimate for Lucerne. The next level is to do these preliminary or pre-feasibility assessments. What does it entail? It entails some engineering. It entails some analysis of the permitting. It entails analysis of the cost preliminary, because you haven't engineered a full mine plan, but you've engineered economic shelves, you've engineered certain concepts, you've looked at certain processing costs. Well, now let's reflect on what I just said relative to Comstock. Wow, we already have our permits. We already have operated the Lucerne mine for over four years. We have a very strong view of what those preliminary economic processing costs, capital costs, et cetera, would be. So we believe that we can now commit to applying all of that existing knowledge and a little bit more work and a little bit more engineering to both the Lucerne and Dayton property, and update -- publish updated technical reports that represent pre-feasibility studies. We've already planned this out with our lead engineering and geological team, and it is fully part of our plan to achieve that level this year. Once that level is achieved, okay, we could then go directly to a full feasibility, full feasibility. Full feasibility is what gets you full engineering, full economic analysis, full net present values of what we think that asset could deliver and proven and probable reserves. However, there's a decision point there, right? Do we believe that we've quantified the magnitude of the resource that we want to move into proven and probable or do we want to think about growing the magnitude of that resource and then going into proving problems? So said a different way, we will get the pre-feasibility this year, right, then we'll look at can we expand that footprint or move it to full feasibility. Here is the wildcard that we're very excited about. The analytics the probability-based assessment, the value that GenMat's team can add when coupled with our team and all of the existing data that we have today, can enhance dramatically not only the resource, but the prospect of expanding the resource much more efficiently. So, look, customer GenMat could be largest mining companies in the world. They can say, hey, we want you to scan our properties and we want you to analyze those data. But they'll also likely say, and it's what we're hearing them say, we have a lot of data already. Can we use your AI engine to analyze the data that we already have. Can it help us see things that we can't see. And in some cases, it's just the sheer magnitude of data. I mean, you literally could put a small team of geologists on something that might take them three or four years just to sift through. The AI will do it in minutes. This is where the revolution is coming in mining. So the good news, we're progressing no matter what, and we're likely going to enhance dramatically with what GenMat’s already creating for the global mineral exploration industry, but we're at the front of the line with using the technology.
Zach Spencer: What is the total addressable market of the combination of markets that the company is pursuing? So you lost the fuels, AI, metals, mining technology?
Corrado De Gasperis: The total addressable markets are astronomical. So if you think about -- let me be pedantic and but careful, okay? The amount of transportation burn in the United States alone is 150 billion gallons. Today, renewable fuels represent a couple of billion of those gallons. Ethanol is 15 billion, fuel renewable, drop in fuels, like renewable diesel, et cetera, 2 billion, 3 billion max, okay. So that market is monstrous and barely touched. So that's what we love about the fuels business, and we're just talking about the United States, and that's per year, per year, we're just talking about the United States per year a immediate revenue, immediate capability for the customers that are adopting this tech. Why did we move to a licensing technology? Because you have companies like Marathon, right, that are already the largest renewable fuel producers in the country, looking, already allocating hundreds of millions, billions of dollars of capital to expand their renewable footprint. Why can't they go faster? There's feedstock constraints, vegetable oils are not sufficient, right, to feed the growth, to support the carbon-neutral targets that everybody has already laid out for themselves. By 2030, by 2050, so if you've got a carbon target for 2030 and you run out of feedstock in 2027, what are you going to do? I'm telling you what they're doing is they're looking for alternatives, and we believe we're best positioned to unblock that bottleneck. So that market, just in the United States alone, just the United States alone, right, is massive for us. It would be – it could be billions in revenue and certainly valuation. So Canada is twice as big in terms of its feedstock sources as been United States with woody biomass. We're talking with international players that have feedback sources now in North and South America. So that's the fuels. Metals, you heard me say it. I almost want to say the opposite for the moment, okay? The EV industry, the electrification industry is obviously growing, okay? I have a view of this. I believe electrification is a part of the solution. I am not on this bandwagon that the world is going to electrify cars 100%. It's not possible. There is nowhere near the virgin minerals required to do that. Now could it be 10%, could it be 15%? Yes. Could it be concentrated in metro areas, where emissions are really choking people off? Yes. But -- why are you going to electrify Wyoming. It doesn't make sense to us, first of all. So we believe in the growth, we believe it's meaningful. We also believe it's critical to recycle. Having said that, how quickly are these batteries coming out of production? Well, it's extending? Is it six years? Is it eight years? Could it be 10 years? When they come out of production, what do they do with them? Well, a lot of people are starting to repurpose them for stationary uses, oh boy, okay? So that curve is going up. But we don't see it going up as fast. Is it critical, right, to perfect your technology and its readiness? Yes. Is it critical to be able to produce battery-grade metals? Yes. Okay. But we need to think about the pace that we deploy capital and for what purpose. So we love the idea of having a TRL 6, TRL 7 operating system, producing salable metals from all sources that are profitable and then letting that business grow. We think it will be a very big business someday. Total addressable market today is much smaller. Now when you start talking about GenMat, it's ubiquitous. There's -- I can't -- if you want -- you're talking about addressable market, right? What is it? You know, all of the materials, the R&D budgets of all of the largest material science companies in the world. You could look at it from a number of different ways, but it's ubiquitous. I mean, it touches almost everything. You know, so we don't -- we haven't quantified it in total, but we have quantified the markets that have the biggest bottlenecks, the biggest constraints and are struggling, like silicon chips, okay. They need more power. They're about Moore's Law is going to become Moore's Wall. They're going to smash into a constraint. And so how do you enhance thermal connectivity? How do you enhance electrical conductivity? How do you modify the band gap for a different result? GenMat knows how to do that. The difference is it doesn't take them years, right, for an incremental improvement. They can do it in day. They can do it in minutes. So if someone -- if you take any one of these silicon chip companies, they got a $20 billion R&D budget, you can imagine how they're spending that money. We can make dramatic improvements with them for them with these kinds of solutions. So there's just so many ways you can go with it. But what we want to do, what's very important for us to communicate in 2023, is having an early adopter for material simulation, have an early adopter for mineral exploration and discovery. Okay. You have two world-class companies using a world-class technology, and then it gets very exciting from there.
Corrado De Gasperis: Corrado [ph] for Comstock Inc. Can you give us a time line on revenue streams? So we're trying to do that with this call, okay? So 2023, at least one license with a major fuel company, when that happens, this game has changed completely. Because you will have, remember, millions of dollars of upfront fees for engineering support, okay? That's a validation. You will have a known royalty percentage. We can very easily project based on the size of the customer's facility, what that will translate into dollars. But then you'll be able to extrapolate. Once you have a known number, you'll be able to extrapolate, it will be irresponsible for us to do that until we have that and then we'll be able to extrapolate. Obviously, we have models. We have projections. They're very exciting. They won't be credible until we get that first one that's coming this year.
Zach Spencer: Okay. One of our listeners hasn't been able to read the entire 10-K yet. So…
Corrado De Gasperis : Understandable. 
Zach Spencer: Yes, they -- actually this question, the pilot plant in Wisconsin.
Corrado De Gasperis : Yes.
Zach Spencer: Is it still on target to be acquired 100% in 2024?
Corrado De Gasperis : Oh, yes. So we -- look, we act as if we completely own and control the Wisconsin facility. There's two payments, 1.75 million each, which we will very comfortably make when in 2023, on 2024. So the answer is 100% yes.
Zach Spencer: Okay. And another listener is drilling down on the hyperspectral sensors. What is the use case? What are the sensors connected to is that constantly analyzing a stream of data or only when specific materials are recognized?
Corrado De Gasperis : Yes. So I'll explain very straightforwardly what I understand, okay. So I was just at the Prospectors & Developers Association of Canada, the PDAC Conference in Toronto two weeks ago. GenMat was there in full force. Comstock was there in full force. What my biggest takeaway from that conference, which, by the way, was 30,000 people strong for the first time since pre-COVID, last time I was there, was pre-COVID and I was blown away by the number of people and companies. Some of the largest companies in the world, including Rio Tinto, a keynote speaker, spent their entire keynote on advanced technologies, including data analytics, remote accessing and hyperspectral information, hyperspectral was everywhere. So what's happening in the mining industry? Finding new minerals is becoming increasingly more and more difficult. Finding new minerals is becoming increasingly more and more expensive. There is no sustainable solution even for the majors to continue on the same path. So for us, having a much, much more powerful, we believe, the hyperspectral imager that GenMat is going to put into orbit is one of the most powerful, not the most powerful known that's out there, okay? But that's only part A of the equation. Part B then is using ZENO to analyze, sit through the rapidly what's in that data. What it will result in is much more precise by drill targets, much more focused exploration programs, discerning existence of mineral signatures that are maybe impossible to discern today without that kind of processing and computing, not just power, but predictive math. So getting more data with more powerful imagers is a part of the equation, but how you analyze process and draw predictions and conclusions from data to me is the secret sauce. So said a different way, we can service Comstock. When I say we say, I’m saying, GenMat can service Comstock today, because of the mountain of data that we have, they can service large companies. at the PDAC conference they were talking basically only to the platinum sponsors, the big companies because these are the companies that have sophisticated data analytics. These are the companies that have sophisticated resource expansion of resources internally. The juniors aren't doing it. So I think that -- let me -- one more theme on this, you could scan mining districts specifically, you would answer that question, a customer would say, like, for example, Comstock would say, hey, I want you to scan my 12 square miles. I want a hyperspectral scan of the entire district, right? You charge them for that bandwidth, you charge them for that compute and then you charge them for the value of your interpretation. So that's how we would think about one way of approaching it. But you could do that for agricultural resources. You can do that for government resources. I mean it doesn't just apply to mineral identification. So again, it's ubiquitous. I mean what they're putting in position is remarkable. Now other people have and can put hyperspectral images in the space, okay? GenMat can acquire their own data. GenMat could acquire data from others. So that -- although it's powerful, although it's focused, it's less critical than the actual engine, the AI engine that can generate the mineral targets and generate the mineral discoveries. I hope that's helpful.
Zach Spencer: Corrado, you mentioned the PDAC conference recently held in Toronto, and they estimated the attendance at about 30,000 people, and there were a lot of mining companies that are between juniors and majors.
Corrado De Gasperis: Sound like 30,000.
Zach Spencer: Are you marketing your mineral resources to potential buyers?
Corrado De Gasperis: We were there in force -- we were all over the conference. We decided that we wanted to be engaging with technical companies, technical suppliers. We wanted to be observing what other companies are doing. I'm saying that in the context of GenMat first. We wanted to and they did approach the majors with their -- an introduction to their capabilities. From the Comstock side, we were engaging other companies other companies were engaging us. We were very happy to have current S-K 1300 reports in our pocket to be able to speak to. And there was a lot of interest. There was a lot of interest. I mean I wouldn't say we went there with a predetermined notion of trying to monetize the assets, but we are very engaged on a number of fronts what that kind of interest, yes.
Zach Spencer: Corrado, that does it for our questions. I want to thank everyone who submitted a question and turn it back over to you.
Corrado De Gasperis: Thanks, everyone, for your time. I do hope you feel and hear a difference in how we are approaching each business' objectives, the transparency, the specificity, the measurability, the relevance of what we're trying to talk about. I know that probably as we explain our readiness to you there may be some disappointment, gosh, I thought this was more ready than that. That's why we did it. We want to make sure that our investors are well understanding where we are. We want to make sure they're well understanding the value of the money that we're spending. We want to make sure that they're well understanding the impacts of what's already been created and the impacts of what is in front of us to create. And we wanted to take the time, right, to go through all of these questions. Having said that, we are available, if there's follow-up once you do get a chance to read through the 10-K, once you do get a chance to read through the press release, which I think is a really excellent more detailed overview, both the past and future. Please follow up, give us a call or ping Zach and then we'd be happy to talk to you. Thank you, everyone.